Operator: Good morning. Thank you for holding, and welcome to Rockwell Automation's Quarterly Conference Call. I need to remind everyone that today's conference call is being recorded. Later in the call, we will open up the lines for questions. At this time, I would like to turn the call over to Patrick Goris, Senior Vice President and CFO. Mr. Goris, please go ahead.
Patrick Goris - Rockwell Automation, Inc.: Good morning, and thank you for joining us for Rockwell Automation's second quarter fiscal 2017 earnings release conference call. With me today is Blake Moret, our President and CEO; Steve Etzel, Vice President of Investor Relations is unable to be with us this morning as he is attending a personal matter. Our results were released earlier this morning and the press release and charts have been posted to our website. Both the press release and charts include reconciliations to non-GAAP measures. A webcast of this call will be available at that website for replay for the next 30 days. Before we get started, I need to remind you that our comments will include statements related to the expected future results of our company, and are therefore, forward-looking statements. Our actual results may differ materially from our projections due to a wide range of risks and uncertainties that are described in our earnings release and detailed in all of our SEC filings. So with that, I'll hand the call over to Blake.
Blake D. Moret - Rockwell Automation, Inc.: Thanks, Patrick, and good morning, everyone. Thank you for joining us on the call today. I'll start with some key points for the quarter, so please turn to page 3 in the slide deck. This was a good quarter for us. Organic growth was 7%, which was better than we expected. Growth was broad based across most regions and industries. Globally, transportation was particularly strong. We also saw signs of improvement in certain verticals within heavy industries. Overall, the economic environment has improved. From a regional perspective, our largest market, the U.S., grew over 5%, continuing the trend we saw in Q1. We saw growth in most verticals, led by strong performance in automotive. We also saw growth in some of the heavy industries in this region. As expected, EMEA returned to growth and was up 12% year-over-year. Growth in the region was strong in both developed and emerging markets. OEMs in this region are adopting our latest midrange technology. We then saw double-digit growth in Asia. The transportation in consumer verticals continued to perform well. Heavy industry saw growth, except in oil and gas, where capital spending remained soft. Most countries in the region were up, including China, which again grew double digits. Latin America declined 3%, as growth in Mexico was more than offset by declines in Brazil and the rest of the region. I'll make a few additional comments about the quarter. Our recent acquisitions continued to perform well, and contributed almost 2% of sales growth. Our Process Business improved, and was up 3% year-over-year organically. If you add our recent Maverick acquisition, Process was up double-digits. Architecture & Software had a very strong quarter, with almost 14% organic growth. Within this segment, Logix was up 13% compared to last year. I'm also pleased with double-digit EPS growth in the quarter. Patrick will elaborate on Q2 financial performance in his remarks. Let's move on to our outlook for the balance of fiscal 2017. The macro outlook continues to improve. Recent projections of industrial production growth have been adjusted upward and rates are expected to improve over the course of the year. We expect continued growth in the consumer and transportation verticals. We now expect heavy industries to be slightly up for the year, even with continued softness in oil and gas and mining. Turning to guidance. Taking the macro outlook and our strong first half into consideration, we now expect fiscal 2017 organic sales growth in the range of 4.5% to 7.5%. Including the impact of acquisitions and the smaller headwind from currency, we now project fiscal 2017 sales of approximately $6.25 billion at the midpoint of guidance and are increasing the adjusted EPS guidance range to $6.45 to $6.75. At the midpoint, this guidance represents 11% EPS growth for the year. Patrick will provide more detail around sales and earnings guidance in his remarks. Before I turn it back over to Patrick, let me add a few comments. We're obviously pleased with our results through the first half of fiscal 2017. The Connected Enterprise is gaining traction, and we are increasing the number of pilots across industries, applications and geographies. As we move forward, we will sharpen the focus of our investments to expand the value we provide in the Connected Enterprise. We are confident that our differentiation will continue to fuel attractive returns for our share owners. I also want to highlight two additional accomplishments during the quarter. We are very proud to have received the Ethisphere award for the ninth time, naming us as one of the world's most ethical companies. This recognition is a testament to our strong culture of integrity. We are also proud to have been one of the 2017 Catalyst Award winners. The Catalyst Award honors innovative organizational approaches that address the recruitment, development and advancement of women, and have led to proven measurable results. We are thrilled to receive this recognition from Catalyst for our culture of inclusion journey, demonstrating our commitment to our employees, customers and community. Our people are the foundation of our company's success and we're committed to creating an environment where employees can and want to do their best work every day. Our employees, partners and suppliers continue to make the difference at our customers, the dedication and enthusiasm creates a loyalty that sets us apart. With that, I'll turn it back over to Patrick. Who, as you know, recently joined my senior leadership team as CFO; many of you know Patrick from his former role in Investor Relations. Patrick?
Patrick Goris - Rockwell Automation, Inc.: Thank you, Blake and good morning everyone. I'll start on slide 4, second quarter key financial information. As Blake mentioned, we had good sales performance in the quarter, with reported sales up 7.9%, organic growth was 6.8%, acquisitions contributed 1.7%, and currency translation reduced sales by 0.6%. Segment operating margin of 19% was down a bit compared to last year. A margin tailwind from strong organic growth was offset by the restoration of incentive compensation. Given our revised sales and EPS outlook for the full year, our second quarter results also reflect a year-to-date true-up of incentive compensation accruals. And as expected, spending also picked up in the quarter. General corporate-net expense of $21 million was up a little year-over-year. And adjusted EPS of $1.55 was up $0.18 compared to the second quarter of last year, an increase of 13%. The increase in adjusted EPS is primarily due to higher sales and a lower tax rate, partially offset by higher incentive compensation. As I mentioned, the tax rate in the quarter was lower than last year. The adjusted effective tax rate was about 450 basis points lower, contributing about $0.09 of adjusted EPS. The main driver of the lower tax rate is a tax benefit related to the adoption of the new accounting standard for equity-based compensation, as we mentioned on the call last quarter. We have not included any potential future benefit from this in our guidance for the year. We're pleased with our free cash flow performance in the quarter. Free cash flow was $273 million, or 135% of adjusted income. 12-month trailing return on invested capital was 36.4%. A few additional items not shown on the slide, average diluted shares outstanding in the quarter were 130.3 million, down 1 million or less than 1% compared to last year. And we repurchased about 690,000 shares in the quarter at a cost of $105 million. Through two quarters, we are basically on track to spend $400 million on share repurchases this fiscal year. At March 31, we had $759 million remaining under our existing share repurchase authorization. Moving on to slide 5, sales and margin performance of the Architecture & Software segment. This segment had an exceptional quarter with 14.2% sales growth, organic sales were up 13.7% year-over-year, currency translation reduced sales by 0.7%, and acquisitions contributed 1.2%. Segment margin improved from 24.6% to 26.5% year-over-year, almost 2 points. Strong operating leverage associated with the sales growth was partially offset by higher incentive compensation. As expected, spending was also up year-over-year. Slide 6 provides the sales and margin performance overview for the Control Products & Solutions segment. Sales in this segment were up 3%, organic sales were up 1.4%, currency translation reduced sales by 0.4%, and acquisitions contributed 2%. For the product businesses in this segment, organic sales were up about 8%. Solutions and services sales were down about 3%. Orders in our solutions and services businesses in this segment were up year-over-year, and we are pleased with a strong book-to-bill performance of 1.17% in Q2. As expected, segment operating margin contracted year-over-year in this segment. Segment margin of 12.6% was down 260 basis points compared to Q2 last year, primarily due to higher incentive compensation. We expect segment margins to improve in the balance of the year for this segment. The next slide, 7, provides an overview of our sales performance by region. Blake covered most of this in his remarks, so I will just add a few comments. You will note that our Q2 organic growth was broad based, with all regions up 5% or more with the exception of Latin America. Our highest growth regions were EMEA and Asia-Pacific. In Asia-Pacific, China was up about 10% and we saw strong growth in most countries in this region. In Latin America, continued growth in Mexico was more than offset by weakness elsewhere in the region. And finally, we saw a good growth in emerging markets. So in summary, good, broad-based growth performance in Q2; and this takes us to the guidance slide. As Blake mentioned, we are increasing our sales and EPS guidance for fiscal 2017. Based on stronger-than-expected organic sales performance in the first half and a significant increase in our backlog, we are increasing our expectation for organic growth to a range of 4.5% to 7.5%. At the midpoint, this reflects a 3 point increase in organic growth compared to our January guidance from 3% to 6%. As a reference, our organic growth for the first half of fiscal 2017 was 5.3%. Based on current currency rates, we now expect a slightly smaller headwind from currency translation, about 1.5 points. Our outlook for the sales contribution from acquisitions remains unchanged at 1.5%. In short, the combined impact of currency translation and acquisitions on the topline is expected to be about neutral. At the midpoint, we now project sales of about $6.25 billion compared to a little over $6 billion in the January guidance, an increase of a little over $200 million. We now expect segment margin to be closer to 20.5%. This implies full-year earnings conversion of a little under 25% for fiscal 2017. As expected, the restoration of incentive compensation is causing earnings conversion to be lower than we would typically project with this level of organic sales growth. We believe the full-year adjusted effective tax rate will be closer to 22%, mainly a reflection of the lower tax rate in the first half of this fiscal year. The adjusted EPS guidance range is now $6.45 to $6.75. At the midpoint, this reflects a $0.45 increase from the January guidance. The lower tax rate accounts for about $0.12 of this increase. We now expect free cash flow conversion to be over 105% of adjusted income. And a couple of other items, general corporate-net is expected to be a little over $70 million for the full year; and finally, we expect we expect fully average diluted shares outstanding to be 129.9 million, that's about 0.3 million shares higher than the January guidance. With that, we'll move to the Q&A. Before we start the Q&A, I just want to say that we would like to get to as many of you as possible. So, please limit yourself to one question and a quick follow-up. Thank you. Operator, let's take our first question.
Operator: Our first question comes from the line of Shannon O'Callaghan from UBS. Your line is open.
Shannon O'Callaghan - UBS Securities LLC: Good morning, guys.
Patrick Goris - Rockwell Automation, Inc.: Good morning.
Blake D. Moret - Rockwell Automation, Inc.: Good morning, Shannon.
Shannon O'Callaghan - UBS Securities LLC: Hey, as you look at this pickup in spending. Can you – based on what you're hearing from customers, how much do you think that is kind of a catch-up from deferred maintenance and upgrades that should have been done that people were putting off versus adoption of the new technology offerings that you have out there?
Blake D. Moret - Rockwell Automation, Inc.: We really don't see this as an unusual surge that's going to quickly go away and the reason that we have the confidence in that is that, the growth is somewhat broad based. These aren't one-time big projects that we've been tracking. The diversity and the relatively small size of the projects that we're seeing lead us to believe that this isn't a surge or a catch-up from deferred spending in the main part.
Patrick Goris - Rockwell Automation, Inc.: I would also say, Shannon, that generally we've seen the projections for industrial production also improve. So, I think some of this is just a general improvement in the economic condition.
Shannon O'Callaghan - UBS Securities LLC: Okay, great. And then, Blake, as you've done more of these Connected Enterprise pilots and continue to roll them out, how are you feeling about your value proposition that puts a premium on domain expertise, while partnering with cloud providers and things like that. I mean, do you – are you getting – is it reinforcing your view that Rockwell's position of where this is heading or are you thinking – are you noticing some things that maybe you have some holes to fill or anything like that? Just some perspective on what you're learning from the pilots?
Blake D. Moret - Rockwell Automation, Inc.: Shannon, our recent experience make us very confident in our strategy. So the combination of our technology, our domain expertise and the partners that we're bringing into bear on these customer problems across a variety of industries and across the world make us more optimistic than ever that we're on the right path. The other important point is that the concept of pilots of taking these in tangible bite-sized chunks to start with is really resonating with customers as opposed to telling them that they have to rip down everything they already have across their enterprise. So that step-by-step approach, recognizing that customers all started different places on the journey is really resonating with the people we're talking with.
Shannon O'Callaghan - UBS Securities LLC: Okay, great. Thanks, guys.
Blake D. Moret - Rockwell Automation, Inc.: Thank you, Shannon.
Operator: Our next question comes from the line of Scott Davis from Barclays. Your line is open.
Scott R. Davis - Barclays Capital, Inc.: Hi. Good morning, guys.
Blake D. Moret - Rockwell Automation, Inc.: Good morning, Scott.
Patrick Goris - Rockwell Automation, Inc.: Good morning.
Scott R. Davis - Barclays Capital, Inc.: I guess Blake, it's nice to start your new job and also Patrick on an upswing. So I hope...
Blake D. Moret - Rockwell Automation, Inc.: It is.
Scott R. Davis - Barclays Capital, Inc.: ...beginning, yeah. Anyways, I am trying to get a sense, I mean, what – a couple of questions on – all related to Control Products & Solutions. I mean, first the comp increase, it wasn't as if the segment itself had all that great of a quarter, so is our folks in that segment compensated overall for the firm overall and participate in the rest of the firm's success or is it more specific to Control Products and somewhat unusual to see a kind of a 1% up organic and then down margin on comp this early in the cycle.
Patrick Goris - Rockwell Automation, Inc.: Yeah. So Scott, we – both segments share a common sales organization and common supply chain. So, a very large part of the incentive compensation within both segments relates to the overall performance of the company. It is a part that's segment specific, but the vast majority relates to the performance of the overall company.
Scott R. Davis - Barclays Capital, Inc.: Okay. That's helpful. And then, it looks like you got a pretty big book-to-bill, I think if I heard you right, you said 1.17%. Was it 117% or 1.07%, I don't know, you can clarify that.
Patrick Goris - Rockwell Automation, Inc.: 1.17%.
Scott R. Davis - Barclays Capital, Inc.: Okay. What kind of work are you seeing in that backlog, is it retrofits, upgrades, new capacity? I mean any trends there or patterns that you can talk about?
Blake D. Moret - Rockwell Automation, Inc.: I'd say, the majority of it is retrofits and upgrades. There's some new capacity in certain industries, fairly diverse set of industries represented there. So we saw semiconductor, metals, infrastructure, power, chemical, even outside of the Maverick acquisition, so fairly broad based. And again, the work that we're seeing, these aren't large one-time projects as much as they are more moderate-sized projects and flow business.
Scott R. Davis - Barclays Capital, Inc.: Okay. Very helpful. Congrats, guys, good luck and I'll pass it on.
Blake D. Moret - Rockwell Automation, Inc.: Thank you, Scott.
Operator: Our next question comes from the line of John Inch from Deutsche Bank. Your line is open.
John G. Inch - Deutsche Bank Securities, Inc.: Thank you. Good morning, everyone.
Blake D. Moret - Rockwell Automation, Inc.: Good morning.
John G. Inch - Deutsche Bank Securities, Inc.: Patrick, Blake, so what – can you actually quantify please the hedging and compensation headwinds in the quarter and what you're expecting them to be for the year? And does all this neutralize in 2018 if the cadence of business continues at its current pace or do you still face these headwinds?
Patrick Goris - Rockwell Automation, Inc.: Yeah. So, John, if we look through the first half of the fiscal year, the year-over-year headwind of incentive comp is $55 million to $60 million. Of that, $20 million was booked in Q1, and the remainder, so $35 million to $40 million was booked in Q2. The good news is that for next year, given our current outlook for the full year, we do not expect another headwind from incentive compensation next year, whatever our guidance range will be.
John G. Inch - Deutsche Bank Securities, Inc.: So, your profit conversion is what then ex these headwinds? I can't do quick math?
Patrick Goris - Rockwell Automation, Inc.: Oh. If you look at it – and the best way look at it is through the first half of the year, given there was a catch-up in 2Q. So through the first half of the year, earnings conversion as reported is up a little over 20%. If you adjust for the incentive comps that I mentioned, you get closer to 45% to 50% year-over-year earnings conversion for the first six months.
John G. Inch - Deutsche Bank Securities, Inc.: Which is what we would have expected, right? That makes...
Patrick Goris - Rockwell Automation, Inc.: Which is in the range of what we would expect, yes.
John G. Inch - Deutsche Bank Securities, Inc.: And then Patrick, if you look at your CapEx in the first half, just on the cash flow statement, it's up 28% versus last year. Similarly, your stock repurchases are down 28%. I guess you said those catch up in the back half, what are you spending the extra money on? It's not an insignificant amount. And is this like expansionary capacity or upgrade or related to Connected Enterprise? Is there like a payback on the stuff, or maybe a little more color would be helpful?
Patrick Goris - Rockwell Automation, Inc.: Yeah. So in general, capital expenditures, you can put them in three buckets. One would be general maintenance, the other one would be R&D related, including investments related to the Connected Enterprise, and the third bucket would be IT related. And so, we do see an uptick in CapEx, and some of that is related to our R&D investment. But that doesn't change that obviously, we remain an asset-light company. Most of our investments are P&L investments rather than CapEx.
John G. Inch - Deutsche Bank Securities, Inc.: Right. But I mean 28% is not a little bit of spending, I mean that's a lot. Is there some – is it a first-half weighted issue, or is there just some big program in R&D or I mean...
Patrick Goris - Rockwell Automation, Inc.: No. I would say it's pretty general. There is nothing specific, and we do think that for the full year, we'll get closer to the $150 million, which is higher than last year. So last year, obviously we pulled back a little, our results were a little bit weaker and so, this year, we'll spend more on CapEx.
John G. Inch - Deutsche Bank Securities, Inc.: Just last. If business continues at this pace, are you guys going to have to hire? I mean you've articulated how, over the years, your model doesn't require a lot of sort of operational ramp if business goes up a ton, and I am assuming in the downturn you haven't really downsized. So, are you right sized to accommodate these big increases in future volume, or you're going to have to go higher, in theory?
Blake D. Moret - Rockwell Automation, Inc.: We still believe that the 30% to 35% conversion on incremental volume holds. So, there will be some hiring in certain places, particularly in customer-facing activities, so for services and sales. But the basic conversion on the incremental sales remains as we've discussed before.
Patrick Goris - Rockwell Automation, Inc.: And from a CapEx point of view, John, 2.25% to 2.5% of sales, I think, is a reasonable ballpark to assume.
John G. Inch - Deutsche Bank Securities, Inc.: Yeah, got it. Thanks, guys. Appreciate it.
Blake D. Moret - Rockwell Automation, Inc.: Thank you.
Patrick Goris - Rockwell Automation, Inc.: Thank you.
Operator: Our next question comes from the line of Nigel Coe from Morgan Stanley. Your line is open.
Nigel Coe - Morgan Stanley & Co. LLC: Good morning, gents.
Blake D. Moret - Rockwell Automation, Inc.: Good morning.
Patrick Goris - Rockwell Automation, Inc.: Good morning.
Nigel Coe - Morgan Stanley & Co. LLC: Good morning. Yeah, hi. Just want to go back to the book-to-bill, 1.17%, I think, is the strongest you've seen since 1Q 2010. So, obviously very strong. You talked about the end markets, it sounds like from the end market discussion, that this is mainly in the emerging markets, but have we seen a big pick-up in book-to-bill in the U.S.? And I'm also curious as well, whether we've seen some pricing pressure, given large (26:25) productivity is still in the very early stages of recovery. So, I'm just wondering if you're seeing some pricing pressure in that backlog?
Patrick Goris - Rockwell Automation, Inc.: I would say, Nigel, that that book-to-bill was broad based across regions and industry, so not only in emerging markets. And as Blake mentioned, many different industries I would say where we have not seen a significant increase yet is oil and gas and mining.
Nigel Coe - Morgan Stanley & Co. LLC: Okay and on the pricing side, Patrick?
Patrick Goris - Rockwell Automation, Inc.: On the pricing side, I would say what we mentioned on the call last quarter is that we had some lower-margin projects in backlog in our Control Products & Solutions segment, some of that is now flowing through the P&L. But we do not expect that headwind to get worse; we would expect that to be slightly improving over the next several quarters. So, we don't see...
Nigel Coe - Morgan Stanley & Co. LLC: Okay. So, the 2.5 points of CPS pressure, was that in part due to pricing or was it too small to call out?
Patrick Goris - Rockwell Automation, Inc.: Well, the vast majority of it is all incentive compensation, that's the biggest headwind. Sales is somewhat of a tailwind to CP&S margins in the quarter, and then margin, what we just discussed was a slight headwind, but it's less than a point.
Nigel Coe - Morgan Stanley & Co. LLC: Okay, great. Thanks. I'll leave it there.
Patrick Goris - Rockwell Automation, Inc.: Yeah, thank you.
Operator: Our next question comes from the line of Steve Tusa from JPMorgan. Your line is open.
Charles Stephen Tusa - JPMorgan Securities LLC: Hey, guys. Good morning. Great start to the year.
Blake D. Moret - Rockwell Automation, Inc.: Good morning, Steve.
Charles Stephen Tusa - JPMorgan Securities LLC: So, just in China, can you just give us a little more specific color on the verticals there? I know auto for these other guys, like 3M and ITW, is obviously different businesses, but up in kind of the 20% to 30% range, some – there's been mixed messaging around the process industry there. You mentioned electronics, maybe that's been influencing China, but maybe just unpack the 10% growth in China a little bit with the end markets?
Patrick Goris - Rockwell Automation, Inc.: Yeah. So, Steve, actually auto for us was about flat in Q2 in China, and we don't expect to grow year-over-year in China in auto for the full year. So, where we did see growth in China is some of the consumer verticals, including Life Sciences, tire continues to be strong for us. But we have also seen a pickup in some of the heavy industries, not oil and gas, but mining was up a little bit and so was metals. Semiconductor also...
Charles Stephen Tusa - JPMorgan Securities LLC: Interesting.
Blake D. Moret - Rockwell Automation, Inc.: Semiconductor also contributed to the growth in China.
Charles Stephen Tusa - JPMorgan Securities LLC: Didn't you guys crush the kind of China number in auto in the first quarter? So is there some give back there in the second half? I thought you guys had a really strong first quarter there in auto.
Patrick Goris - Rockwell Automation, Inc.: I do not recall, but I think for the full year, as I said, we don't expect year-over-year growth in auto in China.
Charles Stephen Tusa - JPMorgan Securities LLC: Interesting. And then just lastly on the – I don't like to usually ask these kind of soft high-level macro questions, but with all the buzz around what the President, the new President is trying to do on manufacturing in the U.S., have you seen any tangible signs that some of this stuff is coming to the table. Seems to be some bite-sized machine tool type of orders from companies, not necessarily like entire plants or lines or anything like that at this stage, but any signs of life there related to their press to finally make the U.S. manufacturing renaissance more of a reality than just an analyst discussion?
Blake D. Moret - Rockwell Automation, Inc.: Sure, a couple of comments on that. First of all, there's no question that there's a pervasive optimism among most manufacturers about the prospects for more competitive environment going forward. We haven't seen large evidence of wholesale re-shoring. We have some anecdotal evidence that certain of our customers have slowed or delayed any moves that they might have been considering to move manufacturing out of the U.S. And we certainly see manufacturers, both U.S.-based manufacturers and manufacturers from the rest of the world optimistic about the power of the American consumers. So you see new tire plant and so on that are being located in the U.S. I don't think anybody is factoring in tangible changes. I'm trying to guess what the form of any (31:19) might look like at the end. But there's a general optimism there.
Charles Stephen Tusa - JPMorgan Securities LLC: And when you say these guys are stopping moving to other parts of the world, do you typically when they move that stuff – do you typically kind of see that business on the other side of the pond or the border?
Blake D. Moret - Rockwell Automation, Inc.: Yeah. Usually we do. I mean, some of our strongest customers are U.S. based multinationals who have a large footprint around the world. We go after everyone regardless of where that plant is.
Charles Stephen Tusa - JPMorgan Securities LLC: Great. Great color, guys. Great start to the year. Congratulations.
Patrick Goris - Rockwell Automation, Inc.: And Steve, auto in China in Q1 was up less than 5%.
Charles Stephen Tusa - JPMorgan Securities LLC: Okay. Thanks.
Operator: Our next question comes from the line of Jeff Sprague from Vertical Research. Your line is open.
Jeffrey T. Sprague - Vertical Research Partners LLC: Thank you. Good morning, gents. Just for a clarification on the incentive comp. So do we go back to kind of a ratable rate of 20% a quarter in Q3 and Q4, which was kind of what the prior ratable rate was or you caught up on the accruals for the year with this mover here in the second quarter?
Patrick Goris - Rockwell Automation, Inc.: Maybe the way you can think about is, Jeff, is for the full year our year-over-year increase in incentive comp is in the $110 million to $115 million range for the full year. Of that, we've booked half to two quarters and we booked $10 million in Q2 than in Q1.
Jeffrey T. Sprague - Vertical Research Partners LLC: Okay. Got it.
Patrick Goris - Rockwell Automation, Inc.: And so in the back half of the year, we'll have another $55 million or so headwind year-over-year of incentive compensation expense.
Jeffrey T. Sprague - Vertical Research Partners LLC: And how about kind of traditional growth spending, you said on the prior call you took it up $10 million versus the prior plan, has there been any change in outlook there?
Patrick Goris - Rockwell Automation, Inc.: We've increased it a little bit in our latest guidance, but less than $10 million for the full year now, we think spending will be up about 3%, excluding the incentive compensation expense.
Jeffrey T. Sprague - Vertical Research Partners LLC: Up 3% in aggregate or 3%...
Patrick Goris - Rockwell Automation, Inc.: Yes, the full year, excluding the incentive compensation expense.
Jeffrey T. Sprague - Vertical Research Partners LLC: Got it. Blake, just back to your comment that Connected Enterprise isn't about rip and replace and kind of a technology migration has always been central to what's going on at Rockwell, but with this dynamic of PLC-5 and end-of-life and kind of support ending on the product, have you seen an uptick in that sort of activity, maybe not wholesale rip and replace, but kind of a broader reassessment of the footprint that what the investment might be required in some of your legacy installed base?
Blake D. Moret - Rockwell Automation, Inc.: Yeah. Just to clarify, support for the PLC-5 will go on for many years, so you won't be able to buy a new one forever, but we'll continue to support the PLC-5 for a long, long time. That being said, I would say that the upgrade cycle of customers moving to Logix or CompactLogix technology has maybe ticked up a bit, and that takes several forms. So that could be a complete project that one of our services and solutions businesses undertakes. It could be an offer to make it attractive to get the newer hardware. And many times, the engineering is performed by our system integrator network. So that presents itself in a variety of ways. We see customers doing that to get the performance from newer processors, and also to be able to take advantage of the information management capabilities of those. So, this is very much a part of the overall Connected Enterprise value proposition, it's not just the higher level of software and services; it begins with that solid foundation of smart connected products.
Jeffrey T. Sprague - Vertical Research Partners LLC: Right. And then just finally for me, do you have in the U.S., how a – specifically A&S in the U.S. performs?
Patrick Goris - Rockwell Automation, Inc.: Yeah. So, A&S was up organic about close to 14%, and in the U.S., it was up a little above that.
Jeffrey T. Sprague - Vertical Research Partners LLC: Great. Thank you very much.
Patrick Goris - Rockwell Automation, Inc.: Thank you, Jeff.
Operator: Our next question comes from the line of Rich Kwas from Wells Fargo Securities. Your line is open.
Rich M. Kwas - Wells Fargo Securities LLC: Hi. Good morning, everyone.
Patrick Goris - Rockwell Automation, Inc.: Good morning.
Blake D. Moret - Rockwell Automation, Inc.: Good morning.
Rich M. Kwas - Wells Fargo Securities LLC: Wanted to, Blake, what are the assumptions now for auto and consumer for the balance of the year? I mean, you had a high single-digit growth, (36:17) better than in the guidance, auto was pretty strong this quarter. I assume, there maybe been a change to that?
Blake D. Moret - Rockwell Automation, Inc.: So transportation is expected to be up high-teens for the full year with automotive higher than tire when we look at those together. Consumer will also be – will be strong for the full year. And within that, food and beverage is strong, Life Sciences, although smaller is really very strong, continues a trend that we've seen for some time, and then home and personal care a little bit weaker.
Rich M. Kwas - Wells Fargo Securities LLC: So, the consumer piece would be less than high-teens, in terms of the growth?
Blake D. Moret - Rockwell Automation, Inc.: Yes.
Rich M. Kwas - Wells Fargo Securities LLC: But better than before. Okay. All right.
Blake D. Moret - Rockwell Automation, Inc.: A little better than (37:04)
Rich M. Kwas - Wells Fargo Securities LLC: Right. Okay. And then, same thing on heavy industry, should we think low single-digit type growth for the year now at this point?
Blake D. Moret - Rockwell Automation, Inc.: Yeah. Yes.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. And then just...
Blake D. Moret - Rockwell Automation, Inc.: (37:14) the prior guidance.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. And then, the restructuring, I think, you had anticipated doing $10 million of restructuring for the year. Is that still in numbers for this year?
Patrick Goris - Rockwell Automation, Inc.: Yeah.
Rich M. Kwas - Wells Fargo Securities LLC: Okay.
Blake D. Moret - Rockwell Automation, Inc.: Rich, I think that's a safe assumption, and that's kind of the normal run rate that we do every year.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. And then just the last one on book-to-bill. So, any flavor on front-log for the oil and gas, mining markets, metals markets and what you're seeing? I know you talked about not really seeing that come through in the book-to-bill at this point, still early, but what's your level of optimism as we go through the next few quarters?
Blake D. Moret - Rockwell Automation, Inc.: Yeah, there's – and we've talked before in the heavy industries and in particular oil and gas and mining, there are parts of the world that we've seen a little bit of additional orders uptake, but on balance, that's not expected to have a big impact on shipments in the full year. So, there's increased quoting activity, but we're not seeing wholesale evidence that we have hit an inflection point in those components of the heavy industries. The slightly improved forecast for heavy industries is really driven by some of the other areas, which are in themselves significant, things like metals and infrastructure and chemical and power.
Rich M. Kwas - Wells Fargo Securities LLC: Okay, great. Thanks for the color.
Blake D. Moret - Rockwell Automation, Inc.: Thanks, Rich.
Operator: Our next question comes from the line of Julian Mitchell from Credit Suisse. Your line is open.
Julian Mitchell - Credit Suisse Securities: Hi, good morning.
Blake D. Moret - Rockwell Automation, Inc.: Good morning.
Julian Mitchell - Credit Suisse Securities: Just a question first around process industries, in the past you'd called out that was your biggest single growth opportunity, during the process downturn the last two or three years, it looked like your sales performed less well than a lot of your peers. So now that those markets seem to have bottomed out, are you confident that you will return to a share growth or share gain outlook over the next two years?
Blake D. Moret - Rockwell Automation, Inc.: We are. We think it's several components that contribute to share gains in that area. Obviously the technology is a piece of it as PlantPAx continues to mature and gain in functionality. But as important is the domain expertise and that's on the part of the people representing our offering, as well as the people delivering it. We certainly got a big boost with the Maverick acquisition, not only in their specific business, but in the help they can provide us around the world and we think that we've taken some steps to invest in that expertise, as well as in the market access. So we're pleased with the development of our process capabilities and we do think that that's going to be a significant contributor to our growth going forward. One of the things we've talked about before with process is because this is a relatively newer part of our growth strategy; we don't have the very large installed base of annuity services in that area. So we have that as less of a hedge against project downturn. But that is certainly an important part of [Technical Difficulty] (40:41)
Julian Mitchell - Credit Suisse Securities: Thank you. And then, Blake, since you became Chief Executive, we have seen and heard a more confident tone on acquisitions at the company, and as you have said M&A added just under 2% to sales in the second quarter. How are you assessing the M&A pipeline today? Obviously a lot of targets out there given your growth aspirations and you have the luxury of your own valuation not being particularly depressed, which may make it easier to get deals done?
Blake D. Moret - Rockwell Automation, Inc.: Sure. So, we remain primarily an organic growth company first and foremost, but we do look at M&A, as we've talked about to add a point or more of growth a year. Importantly, it's to accelerate the execution of our strategy. So we look first at acquisitions, for their ability to add to our technology innovation, our domain expertise and/or our market access. And we do have a good pipeline, it's got little targets and it's got some big targets from around the world. So we're looking at that, and our intention is to increase the positive impact of acquisitions.
Julian Mitchell - Credit Suisse Securities: Thank you. And then just last boring one from me, just on cadence of demand through the quarter in recent months, was there anything noteworthy to call out, or it was fairly steady as you went through?
Patrick Goris - Rockwell Automation, Inc.: I would say it's fairly steady.
Julian Mitchell - Credit Suisse Securities: Thank you.
Patrick Goris - Rockwell Automation, Inc.: Thank you.
Operator: Our next question comes from the line of Robert McCarthy from Stifel. Your line is open.
Robert McCarthy - Stifel, Nicolaus & Co., Inc.: Good morning, gentlemen. I guess the first question would be around the A&S strength. Could you just take it from the top, in terms of what you're seeing, are you seeing share gain, are you seeing pricing? Any kind of color beyond what you've offered to just kind of categorize what is frankly freakish growth?
Blake D. Moret - Rockwell Automation, Inc.: Well, we think that it is translating into share gains. We think some of the areas of particular strength for A&S are, of course, Logix. So including ControlLogix as well as CompactLogix, where we're seeing continued success in winning new OEMs with our midrange offering. We're also seeing motion as a strong contributor, and that's certainly a product family that's in high demand by OEMs, material handling and packaging OEMs. So those are a couple of the highlights. We think there's no question that the macro is helping, but we think we're taking share because we're offering new products that are what the market wants.
Robert McCarthy - Stifel, Nicolaus & Co., Inc.: A similar question on the strength in EMEA. Could you kind of dissemble where you're seeing particular pockets of strength or share gain?
Blake D. Moret - Rockwell Automation, Inc.: So, transportation was strong in EMEA and as well the midrange gains, which are often at consumer machinery builders or a couple of places. We're seeing activity among the tier suppliers within automotive, and some of that activity is driven by certainly powertrain, as well as electric vehicle activity.
Patrick Goris - Rockwell Automation, Inc.: I would also say, Robert, that obviously we're pleased with the 12% growth in EMEA, but we don't expect that rate of growth for the entire year. So, we were down a little bit there in the first quarter. We mentioned that we'd see growth for the balance of the year and obviously we saw a good Q2. But don't expect those rates of growth for the remaining quarters of the year in that region.
Robert McCarthy - Stifel, Nicolaus & Co., Inc.: The last question is just around Process. Could you just size the current state of – excuse me, the size of the Process Business, I think you kind of quantified what the growth was? And then, could you just talk about where your structural constraints are there, in terms of industries? What does that question mean, the question means basically, I think refining is a little bit of a bridge too far for you to kind of get – take meaningful share in that market, but are there certain markets where you think are go, no-go at the fringes of Process from your perspective?
Blake D. Moret - Rockwell Automation, Inc.: Sure. Well, Process – and Patrick will come back and size the overall business for us. What we typically are talking about in Process is the control portion. So there is a significant amount of business that we enjoy that we're not tracking as closely that goes into Process applications that's more power centric. So what we're really talking about is where we're beating DCS suppliers to do the basic process control. If you take kind of the two ends of the spectrum, at one end you have primary process control in a refinery, which is not a target application for us. At the other end, you had batch or hybrid control, which may very often sit in a customer that also has discrete packaging. And that's one of the most available areas for us that we're doing a lot of today, where a customer finds it valuable to have a single control platform that is used in the wet end and the dry end of the plant, so to speak. There's a number of applications that do fit into continuous process control that are available to us. We see some aspects of chemical, like the specialty chemical business for instance, Life Sciences, where we have good solution for those applications. So there's a continuum. That also changes in time, as we add functionality to PlantPAx in a very deliberate way. We have the technology and the expertise to address those applications, we bring in another set as part of our targets.
Patrick Goris - Rockwell Automation, Inc.: And Rob, the size is about $750 million.
Robert McCarthy - Stifel, Nicolaus & Co., Inc.: And is there any border upon which applications you really don't go into at this point in time?
Blake D. Moret - Rockwell Automation, Inc.: Well, the one I mentioned. So the primary process control in a refinery is not one that we would invest time in. In a given refinery, there is typically quite a bit of Rockwell installed base of intelligent motor control products. There is also a lot of process safety that we can participate in for emergency shutdown and fire and gas safety, but the primary process control is not a focus at this time.
Robert McCarthy - Stifel, Nicolaus & Co., Inc.: Yeah. I know a company that does have that focus. Well, thanks, and sorry for not asking soft macro questions.
Blake D. Moret - Rockwell Automation, Inc.: Thanks, Rob.
Operator: Our next question comes from the line of Andrew Kaplowitz from Citi. Your line is open.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Good morning, guys.
Blake D. Moret - Rockwell Automation, Inc.: Good morning, Andrew.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Can you talk a little bit more about free cash flow? I think you've done almost 130% free cash flow conversion in the first half of the year. Now seasonally, you're going to do a stronger second half of the year? Has it been any pull-forward in cash in the first half, because your cash conversion target does seem, I know, you raised it, but it still seems pretty conservative based on what you've done?
Patrick Goris - Rockwell Automation, Inc.: Yeah. So, we – you're right. We raised our cash flow now. We now think it will be a little over a 105%. Typically, we see some pickup in capital spending in the back half of the year. And then, obviously, we want to make sure that those are from working capital point of view, given our sales increase that we are covered there. So, I'm comfortable with a 105% plus conversion for the full year. And obviously, if needed, we'll update that at the July earnings call.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Okay. Thanks for that Patrick. And then Blake, can you give us a little more color on your thoughts on Latin American growth in the quarter? I mean, you mentioned it turned negative led by Brazil. I mean, the markets there seem to have bottomed. But did Mexico decelerate a bit in the quarter? And then, how are you thinking about Latin America and Mexico, in particular going forward?
Blake D. Moret - Rockwell Automation, Inc.: Mexico continues to be a source of strength for us. And it's across a variety of the industries. It's just not enough to more than compensate for the geopolitical uncertainty throughout most of the rest of the region. So between Brazil and Venezuela, just as a couple of them, Mexico wasn't able to keep the overall region in continued growth.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Do you guys think overall the region can grow this year or is it kind of been flattish or down?
Patrick Goris - Rockwell Automation, Inc.: We do expect Latin America to be up this year. But it's going to be below the company average.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: All right. Thanks, guys.
Blake D. Moret - Rockwell Automation, Inc.: Thank you, Andy.
Patrick Goris - Rockwell Automation, Inc.: Thank you.
Operator: Our next question comes from the line of Joe Ritchie from Goldman Sachs. Your line is open.
Joseph Ritchie - Goldman Sachs & Co.: Thank you. And good morning, guys.
Blake D. Moret - Rockwell Automation, Inc.: Good morning.
Joseph Ritchie - Goldman Sachs & Co.: So I guess my first question, when I take a look at your growth guidance for the year and really kind of towards the high-end, given that your trends in A&S were really strong this quarter and CP&S had a very good book-to-bill, highest we've seen this cycle. I'm just wondering, why wouldn't we get towards the higher end of the growth guidance range for 2017 and what potential puts are there in the second half of the year that you guys perhaps are concerned about?
Patrick Goris - Rockwell Automation, Inc.: Well, if you look at the midpoint of our guidance from a regional point of view, the U.S., our largest market is growing at about that rate that is faster than what we've done in the U.S. in the first half of the year. We see Canada and Asia-Pacific above the company average and we see EMEA, Latin America a little bit below. If you look from the midpoint, so what would take us above that or below that is faster growth in heavy industries, maybe a pickup in mining in oil and gas that we're not counting on. But then again, we've increased our guidance by 3 points of organic growth, almost $200 million compared to our guidance a quarter ago and given our backlog and book-to-bill, we think we're comfortable with that.
Joseph Ritchie - Goldman Sachs & Co.: Okay. Fair enough. That was a great quarter and really strong trends. So, I guess maybe the second question there is, is really you talked about pricing a little bit earlier, because the growth has picked up more than we expected, I think probably more than you expected at the start of the year, maybe talk a little bit about what you're seeing from a pricing standpoint today versus perhaps even just three months ago?
Patrick Goris - Rockwell Automation, Inc.: Yeah. I would just say maybe from an overall company perspective, for the full year and for the second quarter, we still saw price realization of a little bit less than a point.
Joseph Ritchie - Goldman Sachs & Co.: Got it. So, it means – is that – you would imagine though with the growth improving that there is probably some opportunity for that to get stronger. I just want to make sure, I'm thinking about it okay?
Patrick Goris - Rockwell Automation, Inc.: I don't think we've adjusted our price expectations based on the growth. There is obviously continued strong competition throughout the world in our various product lines. So, we haven't made any moves in what we're expecting on the price.
Joseph Ritchie - Goldman Sachs & Co.: Okay. All right. Great. Thanks, guys.
Blake D. Moret - Rockwell Automation, Inc.: Operator, we'll take one last question.
Operator: Our final question comes from the line of Noah Kaye from Oppenheimer. Your line is open. Noah Kaye, your line is open.
Kristen Owen - Oppenheimer & Co., Inc.: Yes. Hi, this is Kristen on for Noah, thanking for fitting us in. Just wanted ask a little on the solutions and services business. We saw that down a little bit in the quarter. Can you talk about just the pilot programs and how those are converting to this recurring revenue stream, and what percentage of revenue does this account for now?
Blake D. Moret - Rockwell Automation, Inc.: So, solutions and services would be most impacted by heavy industries. And so, you've seen the relatively weaker performance of solutions and services versus products, primarily a function of depressed resource-based industries over the past couple of years. The pilots that we've been doing, if I understood you correctly, are really a combination of both products as well as solutions and services. So, we're looking at new value from information solutions with MES software, as well as services. And while sometimes we're providing the engineering there, other times customers are looking for some consulting help from us, and then they're applying the products their-selves. So, I wouldn't look at the pilot as exclusively a business that goes into solutions and services. It's really broad-based across our entire portfolio. And as I mentioned before, customers are in different stages of their journey. Some of those pilots have converted into orders, to be sure, others have completed their first pilot and are digesting the results and making plans to roll it out, and others are in earlier stages. But we're happy with the development, and we expect that to continue where you'll see pilots in very different phases as part of an overall healthy funnel.
Kristen Owen - Oppenheimer & Co., Inc.: Great. Thank you for that. And then, you talked a little bit about this and – in conversation on pricing, but certainly we've seen some recent signs of industry consolidation, certainly with the ABB picking up RMB (54:52) this month. How are you viewing that competitive landscape as it stands today?
Blake D. Moret - Rockwell Automation, Inc.: Sure. Well, there's strong competitors out there. But even with these recent moves, we intend and expect to continue to gain share. We've got a platform that combines real-time control and information, it brings value to machinery builders, and that same platform is able to bring value to the end-user as well, once the machinery is integrated into a line, we think it's somewhat differentiated and the fact that we use a common platform for both discrete and Process is somewhat unique.
Kristen Owen - Oppenheimer & Co., Inc.: Great. Thank you so much.
Blake D. Moret - Rockwell Automation, Inc.: Thank you.
Patrick Goris - Rockwell Automation, Inc.: Thank you.
Patrick Goris - Rockwell Automation, Inc.: Okay. That concludes today's call. Thank you for joining us.
Operator: This concludes today's conference call. At this time you may disconnect. Thank you.